Operator: Good day, and welcome to the Willis Lease Finance Corporation Q2 2025 Earnings Call. Today's conference is being recorded. We would like to remind you that during this conference call, management will be making forward-looking statements, including statements regarding our expectations related to financial guidance, outlook for the company and our expected investment and growth initiatives. Please note these forward-looking statements are based on current expectations and assumptions, which are subject to risks and uncertainties. These statements reflect WLFC's views only as of today. They should not be relied upon as representative of views as of any subsequent date, and WLFC undertakes no obligation to revise or publicly release the results of any revision to these forward-looking statements in light of new information or future events. These statements are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations. For further discussion of the material risks and other important factors that could affect WLFC's financial results, please refer to its filings with the SEC, including, without limitation, WLFC's most recent quarterly report on Form 10-Q, annual report on Form 10-K and other periodic reports, which are available on the Investor Relations section of the WLFC's website at https://www.wlfc.global/ investor-relations. At this time, I would like to turn the conference over to Austin Willis, Chief Executive Officer. Please go ahead.
Austin Chandler Willis: Thank you, operator, and thank you all for joining us today to discuss our second quarter 2025 financial results. On our call today, I'm joined by Scott Flaherty, our Chief Financial Officer; and Brian Hole, our President. First and foremost, I'd like to emphasize that this was a record-setting quarter for the company. We achieved our highest ever quarterly total revenue of $195.5 million, an increase of 29.4% over the same period last year. This achievement highlights the continued strength of the aviation marketplace, our platform and our portfolio. Airlines increasingly rely on our leasing, parts and maintenance solutions to avoid costly and time-consuming engine shop visits, helping to drive the recurring revenues that are the foundation of our business. Our steady performance has enabled us to expand our business while returning capital to our shareholders. One year ago, we announced a policy of paying a common quarterly dividend. And last week, the Board declared our fifth consecutive quarterly dividend of $0.25 per share. Scott will provide a deeper look at our financials. So I would like to turn to what we accomplished in the quarter. The momentum from the beginning of the year continues despite any lingering concerns related to tariffs and the impact on trade and economic growth. As we've said in the past, we have designed a robust and durable business model that we believe can generate premium returns across the economic cycle and under a wide variety of market conditions. Fundamentally, the increasing expense of new engines makes leasing a compelling strategy for obtaining spare engines, while our maintenance capabilities offer an attractive alternative for airline operators relative to more conventional maintenance solutions. Additionally, our position as a leading engine-focused lessor is supported by our premium differentiated asset portfolio, coupled with our integrated maintenance and materials capabilities as well as our deep relationships with aviation operators, OEMs and other key market participants. We continue to see positive trends and strength in our core leasing business. The yield of our portfolio as defined by lease and interest revenue plus maintenance reserve revenue divided by net book value is in the high teens. This is attributable to numerous factors, not least of which is our lease rental factor of 1.01% and the steady growth of our utilization from 82% in the end of June last year to 86% at the end of March 2025 to 88% at the end of June 2025. Operationally, the quarter's results are a testament to the dedication and expertise of our team and the successful execution of our strategic initiatives. It's been a busy quarter for us. We purchased or sold 31 engines and 4 airframes. We completed our largest ever engine ABS, which also achieved our tightest pricing to date. We did our sixth JOLCO. We began to see results from our lean business system called SOAR. We received over $6 million in grant proceeds from the U.K. government for our SAF initiative, and we entered into a contract with Safran to build a test cell facility. Our services are well aligned with the industry's direction of travel as more airlines seek to avoid complexity in favor of a simple operating model to drive efficiency and optimize their businesses. Airlines increasingly rely on our leasing, parts and maintenance solutions to achieve those objectives by avoiding costly and time- consuming shop visits and maintaining large in-house maintenance capabilities. I'd like to go into more detail on some of these recent accomplishments. Earlier this year, we launched SOAR, our lean business system built around strategy, operations, action and results to ensure we scale efficiently while maintaining the high-quality service and products our customers expect. As we grow, SOAR helps us expand operating margins, improve delivery timelines and attract and retain top talent. Over the past 9 months, we have identified and eliminated waste across critical processes. These efforts have already delivered measurable results. For example, an 85% reduction in time from engine acquisition to lease readiness, and we are starting to see faster lease closings because of simplified workflows. Our quarterly earnings this period were influenced by a few distinct factors, changes in the way we grant stock-based compensation going forward, the increase in our share price and its effect on our 2024 stock-based compensation plan, the transition to a new General Counsel and the sale of our consulting business. As announced earlier in the quarter, we incurred costs related to the departure of our previous General Counsel. Saying that, I'm pleased to announce that Clif Dameron has been appointed GC. Cliff joined us in 2024 from Carlyle Aviation Partners. His experience in aviation and private equity and establishing investment vehicles is proving invaluable as we look to grow our assets under management. Collectively, 2 of these items led to an increase in SG&A in the second quarter, and I highlight these points to help investors look past these one-off impacts that Scott will address in more detail shortly and focus on the continued strength of our underlying operating performance. Additionally, we sold our consulting and advisory business, Bridgend Asset Management to Willis Mitsui & Company Engine Support Limited, our existing joint venture with Mitsui & Company. We purchased this business in 2016 and have since grown it considerably in revenue and capabilities. This business is an important part of our differentiated offering and that we rely upon their expertise to guide us on in-sourcing maintenance risk, particularly as it pertains to ConstantThrust, where we recently signed another agreement with Air India for 26 CFM56-7B engines. We believe our close collaboration with Mitsui & Company strengthens our platform overall and the combined ownership will help drive further growth in both the consulting business and the joint venture more generally. This allows us to maintain the same strategic benefits we enjoyed as 100% owners of the consulting business in a way that drives a superior return to our shareholders by bringing in third-party equity and fees without diluting shareholders. Subsequent to the quarter end, in July, we announced that our subsidiary, Willis Aviation Services Limited, secured a commitment from leading leisure airline, Jet2.com, for 2 base maintenance lines for the upcoming season. Both maintenance lines will be carried out at our KeySight facility, reflecting the demand we referenced earlier and our commitment to serving that demand while creating skilled jobs in the U.K. aerospace industry. We look forward to updating you on our expansion in the region in quarters and years to come. A few other positive developments I'd like to touch on are tariffs and taxes. We are encouraged by what appears to be an agreement between the U.S. and the EU to have a 0 tariff policy between each for aircraft and aircraft parts, of which engines qualify. We feel that this is a positive development for the U.S. and the EU as well as ourselves who historically have benefited from the frictionless movement of assets across borders. Additionally, changes regarding the treatment of depreciation and interest in the Big Beautiful Bill are expected to benefit us over the long term. Lastly, I'd like to especially recognize the great work of our finance department and banks in executing WEST VIII, our most recent and largest ABS, which closed during the second quarter and is priced inside of the other aviation leasing securitizations coming out around the same time. This is a testament to the market's confidence in our business and the strength of our platform. As we look ahead, we are confident that our operational excellence and commitment to innovation will continue to position WLFC for further growth and value creation. And with that, I'll hand it over to Scott Flaherty, our CFO, to discuss our financial performance in greater depth.
Scott B. Flaherty: Thank you, Austin, and good morning, all. We closed out the first half of 2025 with a solid second quarter performance, where the business produced record quarterly revenues of $195.5 million, up 29% from the comparable period in 2024. Record earnings before taxes or EBT for the quarter of $74.3 million, up 28.3% from the comparable period in 2024. Net income attributable to common shareholders of $59 million for the quarter, up 41.5% from the comparable period in 2024, and yes, another quarterly record for the business. Continued strong core lease rent and maintenance reserve revenues, our trading profits, all enhanced by our vertically integrated service offerings as well as the recognized value creation associated through the sale of our Bridgend asset management consultancy business through our Willis Mitsui joint venture were the key drivers to our profitability for the quarter. Walking through the P&L, as it relates to the top line, core lease rent revenue for the quarter was $72.3 million, up 29.4% from the prior comparable period. And interest revenue, which reflects interest income on long-term loan-like financing was $3.6 million, up 59.8% from the prior comparable period. The relative growth we see from the comparable quarter in 2024 was driven by an increase in our equipment held for operating lease, which sits at $2.61 billion as of June 30, 2025, as well as growth in our long-term loan-like financing portfolio. Our total owned portfolio is reflected on our balance sheet as equipment held for operating lease, maintenance rights, notes receivable and investment in sales type leases, which aggregate to $2.83 billion. Average portfolio utilization was 87.2% for the quarter compared to 83% in the comparable period of 2024. Utilization has been trending up, and we ended the second quarter at a utilization rate of 88.3%. We discussed on our last earnings call how we were getting our Q4 2024 new GTF purchases on lease, and we are seeing the effects of our efforts in the P&L. Lease rate factors for the portfolio were in line with the comparable period of 2024 at 1.0%. Maintenance reserve revenues for the quarter were $50.7 million, down $12.2 million from the prior comparable period but showing relative strength as you peel back the numbers. Short-term maintenance reserve revenues associated with the cyclical and hourly usage of our engines came in at $50.2 million, up 9.5% or $4.4 million from the comparable quarter in 2024 as we continue to see more engines, specifically of the current generation vintage out with short-term lease conditions and long-term maintenance revenues associated with engines coming off lease and the associated release of any maintenance reserve liabilities came in at $0.5 million compared to $17 million in the comparable prior period. Spare parts and equipment sales to third parties increased by $24.2 million or 391% to $30.4 million in Q2 2025 compared to $6.2 million in the comparable prior period. This increase was related to equipment sales of $21.1 million in the quarter, representing the sale of one engine where there was no equipment sales in the comparative prior period. Equipment sales represent the pure trading of an asset that has not been placed on lease. These sales are reflected on a gross revenue basis in our P&L. Margin on equipment sales were 6.4%. Spare parts sales of $9.2 million were up $3.1 million or 49.3% from the comparable period in 2024. Margins on spare parts sales for the quarter came in at 9.8%. WASI, our spare parts business, provides valuable feedstock in a tight parts market, supporting both the Willis and our customers' fleets. The recycling of these spare parts often occurs at 1 of our 2 engine MRO facilities, which are located in Coconut Creek, Florida and Bridgend, Wales. Gain on sale of leased equipment, a net revenue metric, was $27.6 million in the second quarter, up $13.2 million or 91.2% from the comparable period. This gain was associated with gross equipment sales of $91.1 million, less economic closing adjustments. Included in this gain was the sale of 14 engines and 2 airframes. The 30% margin realized on these sales is reflective of the unrealized value we have in our engine portfolio. Trading is an important part of our business and keeps our portfolio relevant and provides capital to build our portfolio. Maintenance services revenue, which represents fleet management, engine and aircraft storage and repair services and revenues related to management of fixed base operator services increased by $1.3 million to $8 million in the second quarter of 2025. Gross margins were negative 7% as we are in the build-out stages of our aircraft line and base maintenance business. Our maintenance service offering create lease opportunities for our business and enable a more efficient lease process through vertical integration. On the expense side of the equation, depreciation and amortization was up $5.4 million in Q2 to $27.6 million as compared to the prior year. Growth in depreciation was primarily attributed to portfolio growth and new off-lease assets going on initial lease, which starts their depreciation cycle through the P&L. To a lesser extent, this increase was related to the depreciation associated with shop visit investments, which start a slightly more accelerated depreciation schedule as shop visit investments are depreciated over a shorter time frame. Write-down of equipment was $11.5 million for the quarter, representing impairment on 6 engines, 4 of which were moved to held for sale. G&A was $50.4 million in the second quarter, up $15.7 million compared to $34.7 million in the comparable period in 2024. Increases in the overall G&A spend were mainly related to a $15 million increase to personnel expenses, of which $12.6 million was due to share-based compensation. Of this $12.6 million, $5.3 million was associated with the departure of our former General Counsel and an acceleration in his share vestings, $5.0 million was related to our April 2025 grant, which was awarded under our prior LTEA program and linked to 2024 performance. For 2025, we have modified the LTEA plan following the significant stock price appreciation in 2024 and have granted awards in January of 2025, which are subject to service and ongoing performance-based metrics. And $2.2 million of the increase was related to wage growth due to increased staffing associated with the growth of the business and $2.2 million was due to increased legal fees. These cost increases were partially offset by the receipt of $6.3 million of government grant proceeds associated with our SAF program, which we were awarded in October of 2024. Technical expense, which consists of noncapitalized repairs, engine thrust rental fees, outsourced technical support services sublease engine rental expense, engine storage and freight costs increased by $3 million to $7.5 million in the second quarter compared to $4.5 million in the prior year period. This increase was primarily due to an increased level of engine repair activity. Net finance costs, which were $33.6 million in the second quarter compared to $24.6 million in the comparable period in 2024. The increase in costs was primarily related to an increase in indebtedness as total debt obligations increased from $1.95 billion at June 2024 to $2.8 billion at June 2025. A significant portion of the increase in total balance sheet debt was associated with the late Q2 2025 ABS capital raise which will have a temporary effect on leverage as well as restricted cash until such time as the beneficial interests in our engines associated with this transaction are transferred to our new financing. In the second quarter, the company recognized a $43 million gain on the sale of our Bridgend Asset Management consulting business to our joint venture, Willis Mitsui. This transaction allowed the company to recognize the substantial value created in our consulting business, which we purchased in 2016, build further substance in our JV partnership with Mitsui and free up capital to grow our core leasing business while still maintaining access to the consulting capabilities of the BAML business through our 50% ownership interest in our Willis Mitsui joint venture. Concurrent with this sale, we made an incremental $22.5 million investment in our Willis Mitsui joint venture. The company also picked up $3.1 million in ratable earnings from our 50% ownership interest in our Willis Mitsui and CASC Willis joint ventures. EBT for the quarter was $74.3 million, up 28.3% from the comparable period in 2024. Income tax expense was $13.9 million, an ETR of 18.7%, which was influenced by the favorable tax treatment of our gain on the BAML sale to Willis Mitsui. The company produced $59 million of net income attributable to common shareholders, which factors in GAAP taxes and the cost of our preferred equity. Diluted weighted average income per share was $8.43 in the second quarter of 2025. Net cash provided by operating activities was $145.2 million in the first half of 2025 as compared to $129.7 million in the first half of 2024. The increase was predominantly related to a large disparity in working capital as inventory went from a $40.7 million use to an $8.9 million source of cash, partially offset by a $22 million decrease in payments on sales type leases and a $10.9 million decrease in cash flows from changes in accounts payable and accrued expenses. Cash flows from investing were a negative $2.2 million in the first half of the year. Contributing to this were $155 million of equipment purchases, and $17 million of purchases of PP&E, offset by $142 million of proceeds from the sale of equipment as well as $23.1 million of net proceeds from our sale of the BAML business. On the financing and capital structure side of the business, the company completed its sixth JOLCO financing in April for $19.8 million, bringing total JOLCO financings at quarter end to approximately $125 million. In June, the company accessed the ABS market and raised its eighth ABS financing, WEST VIII, raising $596 million in aggregate principal amount of fixed rate notes. This transaction was a 2-tranche debt offering, representing the largest ABS financing the company has done to date. The transaction was well oversubscribed during its marketing and priced the tightest spread the company has achieved to date, demonstrating the strong demand our business model has generated in the structured debt markets. Subsequent to quarter end, we amended and extended our $500 million warehouse facility to provide the company with more favorable asset advance rates, reduced borrowing costs and extensions of the commitment period and final repayment date to May 3, 2027, and May 3, 2028, respectively. As a specialty finance company, Willis Lease regularly accesses the capital markets as we look to source competitively priced capital to continue to grow our balance sheet and P&L. In May, we paid our fourth consecutive regular quarterly dividend of $0.25 per share. Subsequent to quarter end, we declared our fifth consecutive regular quarterly dividend, which is expected to be paid on August 21, 2025, to stockholders of record at the close of business on August 12, 2025. We believe that our ability to pay a recurring dividend speaks to the health of the business and provides our shareholders with a moderate current cash yield on their investment while not degrading the strong cash flow characteristics and equity growth of the business, which supports our overall growth. With respect to leverage, as defined as total debt obligations, net of cash and restricted cash to equity, inclusive of preferred stock, our leverage ticked lower to 2.96x as compared to 3.48x at year-end 2024. The flexibility of our capital structure, our liquidity due to our $1 billion credit facility and $500 million warehouse facility as well as our current leverage profile provides us the flexibility to quickly and opportunistically access the market as we look to continue to build our lease portfolio and provide the best and most creative solutions to our customers. With that, I will now open the call to questions. Operator?
Operator: We now take a question from Hillary Cacanando with Deutsche Bank.
Hillary Cacanando: I was just curious with OEM production now starting to improve a little bit, are you seeing any impact on lease rates? I think the lease rates on engines are still very strong but I've heard some investors express some concern about whether lease rates are peaking or when do you -- when that -- when lease rates are expected to peak kind of if you have a feel for that? Any thoughts?
Austin Chandler Willis: Hillary, this is Austin. Thanks for your question. So we've seen lease rates increase about 9% relative to the same period last year and about 2% to 4% over the prior quarter. So I think lease rates are stabilizing, in some cases, a little bit higher, in some cases, about the same. In terms of production, we're hoping that the OEMs are kind of starting to sort things out and are going to be starting to produce the aircraft with more consistency. And I think that's what we're seeing broadly. We don't expect to see any real negative pressure on lease rates because of that in the near term. But that's also why we've got about 54% of our portfolio in the next-generation equipment. So as the pool of GTF and LEAP-powered aircraft increases, that increases our market to lease out those engines. And then also, as we start to see the phaseout of the current generation technology, which we still think is a little ways off. We're pretty well placed to execute or to exploit that with our programs like ConstantThrust that are really designed for aircraft transitions. So in general, we're -- we think the lease rates are good and expect it to be pretty strong for the foreseeable future.
Hillary Cacanando: Okay. So you're not really seeing that peaking as of yet. Okay. And then just a follow-up question. We've been hearing that some very young aircraft like A320neos and A220, younger than 10 years old are now being parted out to engines at spares, which speak to the demand for engines. So are you seeing that? And is that actually good for you guys, that type of environment or not?
Austin Chandler Willis: Yes. So we are seeing that but it's a bit nuanced. So there are some aircraft that I believe the engines have been pulled off and the airframes are being parted out but I think it's pretty limited. What we're seeing a little bit more of are airlines obtaining the lease or otherwise aircraft where they're pulling the engines off temporarily to support their own fleet. We're acquiring some aircraft, underwriting them on the basis of the engines. So in general, I think it's a positive. I think it goes to the fact that there's so much demand for engines in the marketplace that people are doing whatever they can to obtain lift.
Operator: We'll take our next question from Eric Gregg with Four Tree Island Advisory.
Eric Gregg: Great quarter. Four quick questions here. First is, you said the end of the quarter utilization rate was 88.3%. What was in the average in the quarter?
Austin Chandler Willis: Scott, do you want to take that?
Scott B. Flaherty: Yes. The average utilization rate for the quarter -- the average utilization rate for the quarter was 87.2%. At the end of the quarter, that was quoted by Austin, the utilization rate was the 88%. Your question what was the utilization rate average for the quarter or the end of the last quarter? Could you repeat your question? Looks like he dropped. We can get back to operator.
Operator: Eric is in the queue. Okay. We can hear you now, Eric.
Eric Gregg: Okay. Sorry. Yes, I was -- I think you said it was 88.3% at the end of the quarter. I just wanted to know if that was the high point and if it was lower, that's great. I guess my other question sort of locked out here...
Scott B. Flaherty: Yes, sorry, Eric, not to interrupt you. I think why -- the reason we quoted is we try to quote the average utilization in the period as well as the end to just kind of speak to the trends. Over the last year, we've seen going back to when we picked up a lot of GTS in the fourth quarter, we had a higher off-lease percentage. And I think if you kind of looked at the end of last year, we were in the high 70s. As we've gotten those assets on lease, we've seen our utilization go up. So we just wanted to highlight that the average utilization in the quarter was lower than the utilization at the end of the quarter, and the business is trending well in that regard.
Eric Gregg: Great. Great. My other questions are these. What was the employee count at the end of the quarter? How is the Bridgend sale going to impact income on a quarterly basis? And my final question is [Technical Difficulty] is it revenues is that the cost of maintenance services is also inclusive of your internal client as well as third party. So those are my remaining questions.
Scott B. Flaherty: Sure. So I'll try to tick through those, and you were a little choppy there. So I'll try to get as many as possible.
Austin Chandler Willis: Scott, if you don't mind, let me jump in on that. I -- we lost some of your later questions. But in terms of employee count, we're around 420. And I think one of your questions was asking for a little bit of color on the transaction between ourselves and the joint venture selling the consulting business. Is that correct?
Eric Gregg: Yes. I was wondering what's the ongoing revenue and operating income impact of selling that business?
Austin Chandler Willis: Okay. So it's -- the P&L from that business hasn't been particularly material to our own business. But I think the P&L impact to us now having that additional infusion of roughly $40 million of equity is going to have a pretty positive impact when you take into account our ability to leverage it and buy profit-making equipment over time.
Eric Gregg: Great. And just to repeat in case you didn't, I was jumbled. The maintenance service revenues this quarter were less than the cost of maintenance services. I assume that the maintenance service revenues line item is a third-party revenues. Is the cost of maintenance services third-party plus internal client-related costs? Or is it the case that you're losing money on third-party maintenance services on a gross margin?
Austin Chandler Willis: Sure. So -- so I'll answer part of the question. And then from the accounting side, I'll hand it over to Scott. So the margin -- the difference in the margin for the maintenance services business is really attributable to the additional labor that we picked up during the period, and that's largely driven by the airframe business, WASL. I think I mentioned in my prepared remarks that we secured a contract with Jet2 for 2 additional lines. And in order to secure that contract, we had to show that we had the labor force in place that was capable of servicing their aircraft. So that's really -- a lot of it is the buildup of that labor to support that contract with Jet2. And Scott, did you want to touch on the other parts?
Scott B. Flaherty: Yes. No, I think you answered it, Austin. I think that Eric, it's you're definitely seeing a little bit of the cost of the growth of that business in the early stages. So that's why you've seen the change in margin. But obviously, you've seen also some growth in the top line there as well.
Operator: We'll now take our next question from Will Waller with M3F Inc.
William Chester Waller: You mentioned the maintenance reserve revenue was $50.7 million in the current quarter, and that was $50.2 million of that, that was short-term maintenance reserve revenue. I'm kind of curious, the long-term maintenance revenue that you mentioned is only $500,000. If I look back at last quarter, that was $9.6 million. If I look back a year ago, the same quarter, it was $17 million. When I look at the maintenance reserve liability, that grew from last quarter being about $104.4 million up to $113.1 million. Can you kind of walk through what's going on with extensions of leases and if there's an above normal number of extended leases and if that's affecting how that's accounted for and then eventually how that maintenance reserve liability, if that eventually some of that runs through the income statement and sort of the timing of that?
Austin Chandler Willis: Thanks, Will. Thanks for the question. I think your -- the way you're thinking about the long-term maintenance revenue relative to lease extensions and long-term leases is generally correct. So for the benefit of other investors, long-term maintenance reserve recognition generally occurs when we have an engine that comes off of long-term lease. Now part of that is lumpy and part of that is due to extensions. I'd say we have seen a reasonable amount of extensions but I think the bigger factor in the second quarter was more just to do with timing than anything else. We had some long-term reserves come in a little bit later and some come in a little bit earlier. So I would be cautious to focus too much on lease extensions and more just the timing more than anything else. Scott, do you want to add to that?
Scott B. Flaherty: Yes. No, I think the only thing I would add is that if you look at the core short-term recurring maintenance reserve revenue, you've seen that increase approaching 10%. And really, as you know, the long-term piece is always associated with those engines coming off lease. So less engines with those conditions off lease. I think you noted the point that we build a maintenance reserve. So we're still obviously pulling dollars in on that front as well, not recognizing them yet through the P&L but ultimately, we will be. And we're very happy with the yields that are getting generated by the portfolio.
William Chester Waller: Okay. Great. And then my question was probably kind of confusing but you answered it exactly what I was -- basically what I'm asking, I think you understood it. And then my last question is related to the sustainable fuel project. You had the expenses that were associated with some of the plans in the first quarter. It sounded like you got some of that grant revenue in the second quarter. And then I think there was a release that you got another grant that was awarded. But just kind of curious on how the timing of that will work and if that's reported on the income statement and where that would flow through if it does or if it has.
Scott B. Flaherty: Sure. So yes, correct. We had -- and as we said in the -- in our last call, we mentioned that the lion's share of the cost that we would incur and that you'd see in the P&L would be what happened in that first quarter of the year. And we did receive a grant. We were awarded the grant in October of last year, and we received the proceeds for that grant, slightly in excess of $6 million in the second quarter, and we recognized that through the P&L in the quarter. The other grant that you're referring to similarly was awarded in this quarter in dollars, it's a little north of $4 million, and that will be recognized in the P&L upon receipt. So we don't have a color for you now on the receipt but we stand by what we've said in the past that we've seen the lion's share of material costs on the SAF side come through, and those were predominantly in the first quarter.
Austin Chandler Willis: And just to add to that briefly, we're thrilled that the U.K. government has decided to give us another grant. And it's really just a testament to the project and their confidence in our ability to execute.
Operator: And it appears there are no further telephone questions at this time. I'd like to turn the conference back to our presenters for any additional or closing comments.
Austin Chandler Willis: Thank you all for joining us today. We're thrilled with another great quarter, and we look forward to talking to you next quarter. Bye- bye.
Operator: And that does conclude today's conference. We thank you all for your participation. You may now disconnect.